Operator: Good morning. My name is Matthew, and I will be your conference operator today. At this time, I'd like to welcome everyone to the FactSet First Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Rima Hyder, Vice President of Investor Relations, you may begin your conference.
Rima Hyder: Thank you, Matthew, and good morning, everyone. Welcome to FactSet's first fiscal quarter 2019 earnings conference call. Before we begin, I would like to point out that the slides we will reference during the course of this presentation can be accessed via the webcast on the Investor Relations section of our website at factset.com. The slides will be posted on our website at the conclusion of this call. A replay of today's call will be available via phone and on our website. The conference call is being transcribed in real-time by FactSet's CallStreet service and is being broadcast live at factset.com. After our prepared remarks, we will open the call to questions from investors. [Operator Instructions] Before we discuss our results, I encourage all listeners to review the legal notice on Slide 2, which explains the risks of forward-looking statements and the use of non-GAAP financial measures. Additionally, please refer to our Forms 10-K and 10-Q for a discussion of risk factors that could cause actual results to differ materially from these forward-looking statements. Our slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliation to the most directly comparable GAAP measures are in the Appendix to the presentation and in our earnings release issued earlier today. Joining me today are Phil Snow, Chief Executive Officer; and Helen Shan, Chief Financial Officer. Now I'd like to turn the discussion over to Phil.
Philip Snow: Thanks, Rima, and good morning to everyone. We began fiscal '19 with a positive first quarter and are encouraged by the continuing demand for our data and technology offerings. Clients are turning to us for smarter, better connected solutions to drive their investment workflows. Our Wealth business drove higher results than usual for the quarter with strong support from our Content and Technology Solutions, or CTS business. We entered the year with good momentum and a strong product pipeline to execute on our growth strategy, but remained cautiously optimistic given the current uncertainty in global markets. This quarter, we delivered ASV and professional services of $11 million. This includes both organic ASV and professional services for a total of $1.42 billion and a growth rate of 6.6%. As we explained last quarter, professional services are a component of our sales goals, and as a reminder, when we give guidance or refer to our top line growth rate, we will be referring to ASV plus professional services. Moving on to other key metrics. Organic revenue grew over 6% and adjusted operating margin for the first quarter came in at 31.5%, 20 basis points better than the fourth quarter of 2018. We continue to target a 100 basis point margin improvement year-on-year as we get benefits from greater productivity from ongoing investment in solutions and infrastructure and tighter expense management. This fiscal year, adjusted diluted EPS increased 15% to $2.35, primarily boosted by the U.S. tax reform and higher revenues this quarter. Wealth and CTS were the two largest drivers of ASV growth this quarter. Last quarter, we said that we expected most of the impact of the Bank of America Merrill Lynch wealth deal to come in the first half of our fiscal 2019 and the majority of the incremental impact to ASV came in this quarter. CTS or increased sales of enterprise fees and trials of FactSet data exploration, a cloud-based data platform we launched this past summer [Technical Difficulty] demand. Open:FactSet, our marketplace for unique and diversified datasets, continues to capture growing client interest with ESG and sentiment data feeds garnering the most attention. In research, workstations grew this quarter mainly from adding more buy-side and corporate users. This was partially offset by seasonal churn in banking, which is typical at this point in the year. Analytics started the year with softer results relative to last year, but we're excited about our analytics product pipeline as we head further into 2019. New solutions include opening up our portfolio analytics suite through APIs, a unified risk platform and the vault. We also see continued success with risk, adding a number of new Multi-Asset Class clients this quarter. We believe our analytics solutions will result in higher growth in the quarters ahead. We were aware of a few larger cancellations coming into the quarter and outside of these, the rate of churn remained flat and in line with last year. Our sales teams, particularly in the Americas region has worked hard to minimize the rate of cancellations and their efforts have improved client retention in our largest region, and our overall client retention remains very high at over 95%. We've enjoyed high client retention for many years and we're seeing that clients want to partner with us for the next generation of smarter workflow solutions. A recent example of this is within our research group. This quarter, we launched the first of our deep sector strategy solutions by introducing detailed banking industry data and are encouraged by its initial demand. We're excited about this product and plan to go deeper into other sectors over time. Turning to our geographic break down. Our America's organic ASV growth rate improved this quarter to over 6%, EMEA experienced faster growth than the prior quarter at over 5% and Asia Pac continued its double-digit growth rate growing at over 10%. In summary, we're pleased with our performance this quarter and excited about the opportunities we have for the remainder of 2019. We're keeping a close eye on headwinds and client cost pressures, but remain very well positioned given our expanding and innovative product suite and industry-leading client service. Our strategy and philosophy of providing open and flexible solutions is resonating with the market and is proving to be a compelling value proposition for our clients. Let me now turn the call over to Helen to talk in more detail about our financial results.
Helen Shan: Thank you, Phil, and good morning. It is great to be here with all of you with a full quarter now under my belt. We're off to a solid start in fiscal 2019. We delivered growth in organic ASV plus professional services of over 6%, improved our margin from the fourth quarter by 20 basis points and grew adjusted EPS by 15%. Beginning with this quarter, we adopted the new accounting rule, ASC 606, revenue from contracts with customers, which did not have a material impact on our financial results. I will now go through how we performed in the first quarter. Revenues increased 7% to $352 million on a GAAP basis and over 6% to $353 million on an organic basis versus the prior year. The growth was driven primarily by wealth and CTS. For our geographic segment, Americas revenue grew above 6% and international increased 7%, organically. Americas was largely driven by wealth through higher cross-selling both to existing and new clients, while international was driven by analytics and CTS. ASV plus professional services increased to $1.42 billion at the end of our first quarter. Organic ASV increased by more than 6% year-over-year and $11 million since the end of the fourth quarter. This increase was primarily driven by wealth and CTS. Our GAAP operating margin increased by 150 basis points over the prior year to 28.6%. Adjusted operating margin was at 31.5%, an improvement from the fourth quarter of 2018, but lower than the prior year by 20 basis points. Operating expenses for the first quarter totaled $251 million, an increase of 5% over the prior year, primarily driven by higher employee benefits, data costs and infrastructure investments. However, as a percentage of revenue, costs were lower on a year-over-year basis. Breaking this down further. Cost of services, expressed as a percentage of revenues, decreased by 170 basis points compared with the prior year as a result of higher revenues and lower compensation expense. The higher productivity from the restructuring actions last year had a favorable impact in the quarter. These lower expenses were partially offset by increased spend directly related to revenue such as variable data costs and hiring needed for enterprise deals. SG&A expenses, expressed as a percentage of revenues, were in line with the prior year. Lower employee related costs and marketing expenses were partially offset by increased spend in professional fees, higher bad debt expense and travel and entertainment costs. Moving on to tax. Our effective tax rate was 12.1% this quarter compared to 18.3% a year ago, largely due to the U.S. tax reform. Our tax liability this quarter was significantly impacted by divesting the restricted stock and the exercises of employee stock option and the refinement of our prior year toll tax charge. Keep in mind that in our annual guidance for our tax rate, we included an estimated amount for our stock-based compensation benefit. There's still uncertainty with regard to the U.S. tax reform and hence we maintain our guidance of 17.5% to 18.5%. GAAP EPS increased 23% to $2.17 this quarter versus $1.77 in the first quarter of 2018. The increase was primarily attributable to the lower tax rate, partially offset by higher interest expense. Excluding intangible asset amortization, the deferred revenue fair value adjustment and other nonrecurring items, adjusted EPS grew 15% to $2.35. Free cash flow, which we define as cash generated from operations less capital spending, was $37 million for the quarter, a decrease of approximately $18 million over the same period last year. The drivers here include an increase in receivables, timing of payments, higher annual employee bonuses and higher capital expenditures for the build out of new office space and technology upgrade. This decrease is partially offset by higher revenue and a lower effective tax rate. Our client and workstation counts were both up this quarter versus our fiscal fourth quarter of 2018. Our client count increased by 155 and was primarily driven by a change in our methodology, whereby we now include clients from the April 2017 acquisition of Interactive Data Management Solutions. We also added new sell-side and corporate clients this quarter. We added over 23,000 users driven by wealth. We now have approximately 5,300 clients and over 115,000 users crossing the 100,000 mark for the first time in the company's history. Looking at our share repurchase program. We repurchased 275,000 shares in the quarter for $60 million at an average share price of $220. We have 181 million remaining in our share repurchase program. We remain confident about our outlook for 2019 and are reaffirming the guidance given on our fourth quarter call. As we look ahead to the remainder of this fiscal year, we continue to make investments to drive business growth, to optimize our cost structure and to return long-term value to our shareholders. With that, we are now ready for your questions. Matthew, back over to you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Joseph Foresi with Cantor Fitzgerald. Your line is open.
Joseph Foresi: Hi. I wonder if you could start by talking about the market’s had some recent volatility. How has that impacted demand? It sounded like the buy-side was good, but there's some investment banking churn and any thoughts on how that activity or that volatility could play out in 2019?
Philip Snow: Hi, Joe. It's Phil Snow. Yes, definitely there's been some volatility in the market. I'm not sure we've seen sort of any difference really in the end markets up to this point. That doesn't mean if it continues that we wouldn't see that, but it's not really changed things. I think we're still seeing strong demand for our products and our sell-side business is actually pretty healthy. We saw good addition of new clients on the sell-side. The amount of churn that we saw was actually a little bit better, I think, than it was last year in banking. So we're - overall, we're encouraged by what we're seeing in banking and we continue to build out and release new product to that segment of the market. And we also saw an uptick in the sell-side research users this quarter versus the same quarter last year.
Joseph Foresi: Okay. That's helpful. And then I know you held to this idea of expanding margins 100 basis points per year. Maybe you can break down the drivers of that 100 basis point margin improvement in '19? And where you're expecting it to come from so we can get a good sense of how achievable the target is? Thanks.
Helen Shan: This is Helen. Thanks for your question. Let me talk a bit about Q1 and that, hopefully will help lead to talking about what we think for the year. We're executing on growing our business and managing our expenses tightly. The sequential improvement from Q4 reflects those actions. This quarter, we had some expense drivers related to employee-related costs such as medical and upgrade in technology stack, but there are costs also related tied closely to revenue, such as data costs and increased hiring to support new client wins. But for us, it's about really maintaining a tight control on costs. We're seeing, as I said, some positive impact from some of the actions that we took at the end of last year and that's coming through as well as continued benefits from integrating our acquisitions.
Joseph Foresi: Okay. Thank you.
Helen Shan: Welcome.
Operator: Our next question comes from the line of Toni Kaplan with Morgan Stanley. Your line is open.
Toni Kaplan: Good morning. So I know you mentioned that the majority of the BAML contract is now in ASV. Is there any sort of additional contract value that you would expect that's not yet realized, meaning, is like are all the workstations in there, but maybe not all of the feeds or just any sort of additional color on what we could expect in future quarters? Or maybe just like you said, the majority is already in there? So any color would be…
Philip Snow: Yes, the majority is in there. But like - thanks, Toni, but with any large clients, we always have lots of cross-sell opportunities that are available. So I think it's deepened our relationship with that particular firm and that's our strategy when we work with lots of other firms. But in terms of sort of the users, and so on, you're right that this was an enterprise deal, a multi-year deal, and that most of it has been recognized already in - from an ASV standpoint.
Toni Kaplan: Okay. And just directionally because I know you don't want to give us the actual incremental size of it. But excluding the contract, would your organic ASV has decelerated this quarter or how should we just think about directionally?
Philip Snow: So I think the core clients on the buy-side and the sell-side are very healthy. So there were a couple of lumpy things in there this quarter. As I've talked about before, we do have an FP&A business, which we sell FactSet and content and some other pieces of our product offering to other types of firms, and this was one of those quarters where there was some lumpy stuff in there. But yes, overall, we're very encouraged by the underlying trends that we see on the buy-side and the sell-side, and our products suite across all of our different business lines is resonating.
Toni Kaplan: Great. And just for my follow up, your employee count increased by just under 2% this quarter. It's like the lowest that we've seen it. Could you just give some additional color on what areas where you've slowed in terms of hiring, whether it be sales force or product development or back-office? That would be very helpful. Thank you.
Philip Snow: Yes, I don't think there's any one particular area that we're cutting back on. I think we're just sort of looking at our business and trying to be the most efficient that we can across the different business lines.
Toni Kaplan: Thank you.
Philip Snow: Yeah.
Operator: Our next question comes from the line of Manav Patnaik with Barclays. Your line is open.
Manav Patnaik: Thank you. Good morning. Phil, I just wanted to clarify, you talked about, I think, how you were aware of several closures coming into the quarter, but then, the - I guess, the incremental closures were in line with the case of last year. So I'm just trying to - I was just hoping if you could give a little bit more color in terms of maybe what you've assumed in your guidance, I suppose.
Philip Snow: Yes. So I think I did mention - thanks, Manav, in Q4, that there were some - we have a lot of multiyear agreements with large firms and there are a fair number of those that we were renegotiating. So I'd say, we're encouraged by sort of how that's trending, which I think gives us confidence that we will still be in the same range that we guided you to from a top line standpoint. And as we get further into Q2 on our next call, if we have more information to share, then we can - we could talk about it then. But I think, overall, there's - there are a large number of these and we're feeling pretty good about how we're doing.
Manav Patnaik: Okay. And then could you also just elaborate on why analytics maybe started out softer than you would've thought? And why you're confident that it'll make up in the rest of the year?
Philip Snow: Yes. So in Q1, as you know, it's typically a lighter quarter. So that could -- for any of our businesses, it could end up being that Q1 just is not as material as it was the previous year. Analytics is doing really well ahead a very strong Q4. So there was a lot of deals that closed at the end of the fiscal year. We did sell, I think, 8 of our Multi-Asset Class risk solutions in Q1. So that was obviously a product that we're very excited about, risk in general. We released version 2 of our MAC model and that's resonating really well with the clients. So it's a broad product suite. A lot of the acquisitions that we did are in that group, and we're getting those integrated and we're really excited about the product pipeline as we moved through the year and sort of what that group can achieve for us.
Manav Patnaik: Thank you.
Operator: Our next question comes from the line of Hamzah Mazari with Macquarie Capital. Your line is open.
Hamzah Mazari: Good morning. Thank you. My first question is, just any color you can give as to how correlated you think your business is to headcount growth in both buy-side and sell-side relative to the last cycle? And the reason I ask is, your mix has shifted to workflows. There's some other stuff probably going on that maybe makes your business more resilient relative to headcount growth, but maybe you want to add some color there?
Philip Snow: Yes. Hamzah, thanks for the question. Yes, I think, you're right on the money that our business over time has become less correlated to headcount growth as we move from workstation to workflow. You saw our CTS business do very well this quarter, and CTS typically is not as correlated to headcount as users are, but we did see great uptick in our users this quarter. We're really encouraged by what we're seeing in wealth. I think the deal that we did there, I think, just paves the way for us to do more of those types of deals, and we're seeing a lot of interest. And all of the work that we're doing to put deeper sector content into the workstation, all the work that we're doing from a technology standpoint to sort of light up the workstation for FactSet. All of that's really positive and we're seeing good demand for that -- for our products across users as well as on the technology side for workflow. So we're hitting it from both sides.
Hamzah Mazari: Okay. Great. And my follow-up question is just around potential client outsourcing opportunities. I think you had mentioned that, that may be an area that sort of not baked into your overall addressable market and as well you had talked about potentially some more front-office opportunities as you look at ASV growth long term. So just curious on those two items, outsourcing opportunity and front-office work, what you're seeing there or is that a sort of an early innings? Thank you.
Philip Snow: Yes. So I think when you say outsourcing opportunity, maybe you mean FactSet going through other third parties and what we've called SP&A [ph] is that right?
Hamzah Mazari: Right, right.
Philip Snow: Yes. So I think a lot of opportunities do exist. As we unbundle our product offering and go to market with more of an open strategy, we have more than just content feeds to offer now within the marketplace. So I think you're right. The buy-side and the sell-side, I think, are looking for innovative ways to consume value. We're delivering that through -- by ourselves by unbundling our offering and going to market in new and interesting ways, but that also gives us the opportunity to work with third parties that historically wouldn't have. So we're very collaborative firm. We're out there with talking to a lot of technology companies, a lot of firms in our space and our approach is to be open. So I think that is a good opportunity for us as we move forward and one that we're obviously focused on. And then, what was the second part of your question, sorry?
Hamzah Mazari: Yes. The second part of the question was just, what you're seeing in terms of opportunities in the front office for FactSet?
Philip Snow: Yes. So I would -- that was sort of what I was referring to a little bit with our analytics suite. So getting -- releasing our portfolio management platform, which you will see in the second half, where a portfolio manager essentially can turn FactSet from sort of a read-only experience to a read/write experience. And look at the holdings, model of trade, enter a trade, execute a trade, you can do a lot of those things in FactSet with the different pieces we have, but it's going to be kind of a really elegant, integrated solution through our front end. So we're -- I think, we're going to see a very positive response to that. We've had equity only sort of single trade out there for a little bit, but we're quickly building out Multi-Asset Class multi-portfolio, and I think that for us is going to give us a great opportunity to link traditionally what we've done with research through to the performance [indiscernible] and create that end-to-end solution that clients are looking for in this market.
Hamzah Mazari: Great. Thank you.
Operator: Our next question comes from the line of Shlomo Rosenbaum with Stifel. Your line is open.
Shlomo Rosenbaum: Hi, good morning. Thank you for taking my questions. Phil, I'm just trying to reconcile 23,000 incremental users with $5 million of incremental ASV. It's just - if you kind of do the math, it's like $18 a month per user. Is some of the ASV going into the professional services section of the ASV? Or how should I think about that? Is there to be counted as the user a different qualification versus being counted as ASV?
Philip Snow: So the - I think the organic incremental ASV was more like $11 million. I think Helen can probably explain some things that went on there from an FX standpoint. So I think $5 million is understating it. And yes, within this segment of the wealth market, I think, the price is lower than traditionally what we've captured, but I think the opportunity that we get in terms of just getting a wider footprint of users of our product and the railroad tracks that lays down for us to kind of upsell within to that ecosystem is very compelling. Helen, do you want to hit the FX piece of it?
Helen Shan: Sure. I think that - remember that the $11 million is made up of both ASV and professional services. So it's the combined number. And to Phil's point, that was on an organic basis, which, as you know, excludes the FX impact. With the FX, that's how the $5 million comes through.
Philip Snow: And I think we've talked about this a little bit before, but I think looking at our business from an ASV per user metric, it is a difficult way to analyze our business just because we sell to so many different types of users and so many different types of clients.
Shlomo Rosenbaum: Okay. And then I just want to move a little bit towards the open.factset.com. Is the pace of new datasets coming on accelerating particularly from third parties? And is there any update you can give us a little bit more on client response and the opportunities there?
Philip Snow: Sure. So there are two parts to that. One is what we call the data exchange. So we continue to add more third parties into that ecosystem. The 2 kind of areas that I alluded to in my comments earlier were we're seeing a lot of interest in the ESG and sentiment providers, in particular. And the data is also up there with all the FactSet's core content. So the other fees we've launched is something called data exploration. So within that ecosystem, you can come in and you can explore the data, all of it, and you can use products like tableau, you can code in python, and certainly it's sort of where a lot of the analysts of the future are going to be sort of doing their researches in an ecosystem like that. So we have seen a lot of interest. We've got a lot of people trialing this. It isn't material yet in terms of what it's delivering in ASV, but we're very encouraged by sort of what it means for the future. And just to add on, Shlomo, to your sort of question about the size of that deal and what it means. It's great for us to be in the big banks. It opens doors for us. I think, we're creating relationships that traditionally FactSet hasn't had, and it really allows us to cross-sell the suite of solutions that we have. We - traditionally, we've been a little bit more bottoms up in terms of how we sell. But as we develop relationships with these bigger firms at a higher level, I think, it means good things for our company.
Shlomo Rosenbaum: Thank you very much.
Philip Snow: Sure.
Operator: Our next question comes from the line of George Tong with Goldman Sachs. Your line is open.
George Tong: Hi, thanks. Good morning. I'd like to drill down into your underlying business, excluding the BAML contract. You've indicated that you saw some lumpiness in the quarter with ASV performance. If you include the impact of the lumpiness, can you discuss whether ASV organic growth was positive or negative in the quarter? And whether you foresee additional lumpiness that could impact organic ASV over the remainder of the year?
Philip Snow: So it was positive. If you take out a couple of big things that happened, and as I mentioned, we're feeling encouraged by the negotiations that we're having for the large multi-year contracts that we have for the rest of the year. And just to restate it, feel pretty good about the guidance that we gave at the beginning of the year and can give you more color at the end of Q2.
Helen Shan: And one thing I would add, as we think about the business, we do think of BAML as part of our organic growth. I'm not sure whether -- when you think about taking it out, but the reality is, it is part of -- we put our resources towards that deal and it's just part of how we normally run our business.
George Tong: Got it. That's helpful. And just as a follow-up, you've indicated that you have several large deals in the pipeline from both the renewal and new client perspective. Can you elaborate on how much of these large deals are renewals versus new clients? And then what assumptions on the conversion rate of these large deals you're incorporating into your full year guidance?
Philip Snow: I mean, it's a really good mix of both, and we -- our sales team is really good, I think, about sort of weighting these from a probability standpoint. And it just gives us confidence in the guidance that we gave you in terms of what we're going to deliver. So we've got a very broad-based suite of products. We've got a broad-based client mix that we're going into. Some of these are large deals, but we have very good sort of middle market business and we close a lot of interesting small clients every year as well. So it's very diversified.
George Tong: Very helpful. Thank you.
Operator: Our next question comes from the line of Ashish Sabadra with Deutsche Bank. Your line is open.
Ashish Sabadra: Thanks. Thanks for taking the question. Just a question on professional services, ASV that was pretty strong on a year-to-year basis. Should we expect that kind of momentum going forward? Or was that more related to the BAML deal?
Philip Snow: You're asking specifically about professional services?
Ashish Sabadra: Yes, yes, professional services, ASV, which was...
Philip Snow: Yes. So that was a very small piece of our incremental ASV organic this quarter. It was well less than $1 million, and it wasn't material in Q1 of last year either. So most of what you saw in Q1 was subscription-based revenue on a forward-looking basis.
Ashish Sabadra: Okay. That's helpful. And then maybe just a follow-up -- a broader question on the competitive environment. Have you seen any change in the competitive environment either from Bloomberg getting more aggressive on the research or on sell-side firm or Thomson Reuters with [indiscernible] branded as Refinitiv, have you seen any change in dynamics there?
Philip Snow: No, we're not seeing any material change in the competitive environment. So we still feel really good about how we're doing and taking - believe that we're taking market share from the majority of the competitors that are out there.
Helen Shan: And just to make sure we clarify your question. There was -- BAML was not in our -- there's no professional services revenue from the BAML deal.
Ashish Sabadra: Okay. That’s helpful. Thanks.
Operator: Our next question comes from the line of David Chu with Bank of America. Your line is open.
David Chu: Thank you. So Phil, you just mentioned that organic ASV ex BAML was positive if you take out a few big things that happened. Can you just speak to that? I mean, is it just that lumpiness of those particular projects? Or what else was, I guess, "these big things in the quarter?"
Philip Snow: Yes. I spoke about one earlier, it was some activity within our SP&A [ph] business, which is not buy-side and not sell-side. If you are defining core as buy-side and sell-side, we're accelerated.
David Chu: Okay. And then just in terms of margins, how should we think about the cadence of margin expansion over the course of the year? I mean, should we expect sequential improvements?
Helen Shan: This is Helen. Thanks for your question. I think it depends a bit on the investments that we're making. We have investments that are more in the first half of the year. So we expect to see some greater - that's more of a timing perspective. And so I would say that we should expect steady improvement through the course of the year, but we don't - as you know, we give annual guidance and not quarterly guidance.
David Chu: Got it. Thanks.
Helen Shan: You’re welcome.
Operator: Our next question comes from the line of Peter Appert with Piper Jaffray. Your line is open.
Peter Appert: Good morning. A question for Helen. On the free cash flow conversion, a little bit depressed in the current quarter, you mentioned receivables and few other things. I'm wondering if the conversion rate to free cash flow's going to be a little bit different this year or is it going to be consistent with historic?
Helen Shan: Right. Thanks for your question. So I think I would look at a number of things that we saw this quarter. We experienced higher levels of client receivables. We had timing of both vendor and tax payments that came through, higher employee bonuses, which as you know, come through we pay out in the first quarter and higher capital expenditures as well. And our CapEx is related to build out that we've got in outside the U.S. as we really prepare for further growth. So I wouldn't necessarily look at this quarter as something that is different, but we did have things that occurred that provides some of that volatility or seasonality.
Peter Appert: Okay. But specifically you would think that free cash flow conversion - EBITDA out of free cash flow would be similar this year to historic levels?
Helen Shan: Yes, I would, but we do have, like I said, some higher CapEx, as we're making investments back into the business.
Peter Appert: Okay. And then Phil, you called up a - called out a fewer larger cancellations in the first quarter. I'm just wondering if there's any common theme in terms of the clients who choose to not renew in terms of -- is it generally about price, is it generally about specific other vendors, any commonality you can cite?
Philip Snow: No. We have large deals with some clients that are SP&A related or not, and there's no theme that I can speak too.
Peter Appert: And the first quarter - I mean, the cancellation rates in the first quarter, do you view them as unusual or just sort of typical business...
Philip Snow: No, I don't. So I think if you look at the majority of our business, I think, we did well.
Peter Appert: Okay. Thank you.
Operator: Our next question comes from the line of Peter Heckmann with Davidson. Your line is open.
Peter Heckmann: Hey, good morning. Most of my questions have been asked. I just wanted to follow up on one area within OMS, EMS systems on the trading desk. We've seen a bit of consolidation there with all three of your larger competitors changing hands over the last year. Have you seen any change in the competitive dynamics, maybe the buyer's trying to bundle those services, be it either for further accounting or funding [ph] administration services that might require you to change your marketing approach?
Philip Snow: So this is a new area for us. So I think what we're seeing demand for is an integrated solution and consistent data and analytics, all the way from research through to performance reporting. So I think that's what we're good at. And when we made the acquisition of EMS and OMS, that's what we were most excited about was getting those integrated. So yes, we're seeing consolidation. I would say that our integration has not gone as quickly as we would've liked, but I feel really good about where it sits now, and the product that we have coming to market. And we are beginning to see more demand for our OMS product, in particular than we had over the last year.
Peter Heckmann: Got it. That's helpful. And then just as a follow-up, and forgive me if I missed it. But in terms of just the timing of the one large Go Live during the quarter, did that happen first, second, third months of the quarter?
Philip Snow: That's a good question. I don't have that exactly, and maybe Rima can answer that one for you later today.
Peter Heckmann: Okay. Thank you.
Operator: Our next question comes from the line of Tim McHugh with William Blair. Your line is open.
Tim McHugh: Hi, thanks. Just the numbers one to start. I guess, you said you changed the definitions, I guess, for the user and client count to include the digital business. So can you give us a clean number perhaps? I'm not sure how much those impacted those two metrics?
Philip Snow: Sorry. Keith [ph] can you repeat that?
Tim McHugh: Sorry. I believe you changed the definition of the client count, and I believe maybe user account as well to include an acquisition from the prior year, and so it's not kind of a clean comparison when we look at the sequential or year-over-year growth rate of those numbers. So I wasn't sure how -- if you could give us a clean number to adjust for that factor?
Philip Snow: Yes. So the wealth - the majority of the new clients were wealth related to FDSG. Outside of that, I think, our clients that we added were 23 this quarter. And if you look at the mix of those, I think, it was heavily weighted towards sort of the banking area was up and corporate clients were up as well.
Tim McHugh: Okay. And then, the mention of more renewals this year, and I guess, including through the second quarter this year, can you give us any sense how outside of the norm, I guess, is the renewal risk or opportunity, either way you want to look at it this year versus kind of a normal year for you?
Philip Snow: I don't think it's that much different. I think we've got a lot of big clients and a lot of them come up for renewal every year.
Tim McHugh: Okay. Thank you.
Philip Snow: Thanks for the question.
Operator: Our next question comes from the line of Keith Housum with Northcoast Research. Your line is open.
Keith Housum: Good morning. Just one question for you here, more on the international side of the business. If I look at how the international ASV has grown, I guess, this quarter compared to the, say, the past 8 quarters, it seems that the international growth has been kind of slowing down from the ASV perspective, any color on that? Are you guys reaching - maturing in those markets or international markets are more challenging than U.S. Just any color you can give on that growth?
Philip Snow: Yes. Thanks for the question, Keith. So we continue to see double-digit growth in Asia. It was a little bit lighter than, I think, the previous quarter, but it's still over 10%. And again, Q1 is typically not a big quarter for us. And I think in Europe, we're actually doing pretty well. So I think it might have ticked up actually in Europe. And despite the environment over there, I think that we're encouraged by sort of the activity in what we're seeing. So - and by no means that we tapped out. I think there's tremendous opportunity for FactSet in general across the markets, and we're very excited about all of our opportunities globally.
Keith Housum: Got you. Thank you.
Operator: Our next question comes from the line of Alex Kramm with UBS. Your line is open.
Alex Kramm: Hey. Good morning, everyone. Sorry to come back to the ASV bridge, but I quite frankly am still a little bit confused because I feel like there are a few different ways you've been talking about this. So if I just sit back, I think you said quarter-over-quarter, ASV increased $11 million, but if we look at the stated number, I think it's $5 million to $6 million. So I guess, $5 million-or-so FX headwind. So maybe you just confirm that. But secondly, if I then look at, excluding BAML, would quarter-over-quarter actually would have been negative or would have been positive on a stated basis. I know there were some losses, but on a stated basis, would have been positive or negative?
Philip Snow: So I think you're right. They were about $5 million or $6 million in headwinds from an FX standpoint. And if you exclude some of the SP&A [ph] activity that I spoke about, we would have been positive.
Alex Kramm: Right, but if the SP&A [ph] wasn't there, it would have been negative - forgetting about that impact for a minute, that brought it negative, I guess, is the point.
Philip Snow: Yes. I think the thing to focus on is that we grew ASV by $11 million. And I think that's great, we grew. And if you try to think of BAML as non-core, I think that's the wrong way to think about it, like this is an iteration of our product suite that's opening up a new market for us. So I would focus on the fact that we're growing and that we're getting into new markets, and there's a lot of opportunity for the company.
Alex Kramm: Yes. Totally agree. I think there was just a confusion, so I just wanted to clear that. Thank you. Secondly, on the wealth side, Phil, I think you made the point that you are getting a lot of incomings, I guess. And anecdotally speaking, we're hearing that too that this - it definitely raised the bar, the BAML deal. But maybe you can just talk about little bit more, the detail in terms of where they're coming from, what are you seeing, what are the discussions, but then also maybe talk a little bit more broadly about the go to strategy on wealth now because BAML is obviously the largest one out there. You have maybe two more firms above 10,000 and may be less than a handful in the mid thousands, and then you have a very, very long tail. So how is the sales approach actually now focused in terms of tapping really into wealth because it's a very diverse market?
Philip Snow: Yes. It's a very diverse market, but this deal, I think, has provided great visibility for us and we're seeing a lot of interest. So you're right that there may be only a few firms that have greater than 10,000. But we're seeing very good interest from firms that have thousands of users. I think the product that we went to market with is really a step change in terms of what the functionality that the advisers now have access to. This is a long run way. I mean, these deals take a little while to get through. So I'm not sure I would anticipate big impact from it in FY '19, but I think as you look forward into FY '20, this could be, I think, a really positive thing for us in terms of our growth.
Operator: Our next question - our last question, sorry, comes from Bill Warmington with Wells Fargo. Your line is open.
Bill Warmington: Good morning, everyone. So I wanted to ask about the Multi-Asset risk side. Maybe you could talk a little bit about the new wins there, give us some color in terms of the types of clients that are signing up and then also maybe a little color in terms of what competitors are losing the business?
Philip Snow: Yes. Great question. So Multi-Asset Class risk, I think, we're seeing demand for that across our institutional asset management clients, both small, medium and large. We're seeing a lot of interest for it, asset owners globally. So those are the 2 primary firms that we're seeing interest from - types of firms. And I think the competitive market is, sometimes these are in-house solutions, sometimes that's the usual suspects. I think why people are coming to FactSet and why they're excited is, the integrated solution that we have and some of the innovative things that we're introducing to the market as a result of acquiring the Cognity team as part of our BISAM acquisition. So that's an exciting thing for us and we're seeing a lot of interest in that scenario that we continue to invest in.
Bill Warmington: Excellent. Thank you very much for that color
Philip Snow: Thank you. Thanks, everyone, for joining us on the call today. If you have additional questions, please call Rima Hyder. And we look forward to talking to you next quarter. Operator, that ends today's call.
Operator: This concludes today's conference call. And you may now disconnect.